Operator: Good afternoon. My name is [Chantal] (ph) and I will be your conference operator today. At this time, I would like to welcome everyone to the Third Quarter Financial Results Conference Call. All lines have been place on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Jim Zemlyak, CFO of Stifel. You may begin your conference.
Jim Zemlyak: Thank you, [Chantal] (ph). Good afternoon. This is Jim Zemlyak, CFO of Stifel Financial. I would like to welcome everyone to our conference call today to discuss our third quarter 2014 financial results. Please note that this conference call is being recorded. If you’d like a copy of today’s presentation, you may download slides from our company website at www.stifel.com. Before we begin today’s call, I would like to remind listeners that this presentation may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of ‘95. These statements are not statements of fact or guarantee of performance. They may include statements regarding, among other things, our ability to successfully integrate acquired companies or branch offices and financial advisors, general economic, political, regulatory and market conditions, investment banking and brokerage industries, our objectives and results, and also may include our belief regarding the effect of various legal objectives -- legal proceedings, management expectations, our liquidity and funding sources, counterparty credit risks or other similar matters. As such, they are subject to risks, uncertainties and other factors that may cause actual future results to differ materially from those discussed in the statements. To supplement our financial statements presented in accordance with GAAP, we may use certain non-GAAP measures of financial performance and liquidity. These non-GAAP measures should only be considered together with the company’s GAAP results. To the extent we discuss non-GAAP measures the reconciliation to GAAP is available on our website at stifel.com. And finally, for a discussion of risks and uncertainties in our business, please see the business factors affecting the company and the financial services industry in the company’s annual report on Form 10-K and MD&A results in the company’s quarterly reports on Form 10-Q. I will now return the call over to our Chairman and CEO of Stifel, Ron Kruszewski.
Ron Kruszewski: Thank you, Jim. In the third quarter we had record results in Global Wealth Management and solid results in Investment Banking. Our equity and fixed income brokerage business were impacted in the quarter by lower volumes, particularly in the month of August. On the positive side, market volumes have strengthened in the month of October. Our results reflect two months of our partnership with Oriel Securities, our U.K. investment bank. The initial integration is going well and we look forward to their future contributions. Looking ahead, we expect to close the acquisition of Legg Mason Investment Counsel in November, which will add $9 billion in client assets. Before I turn to our results, I’d like to add a little color on the operating environment during the quarter. The markets were generally flat, up 1% sequentially. Volatility was low up until the last weeks of the quarter and equity volumes were down 6% sequentially. Typical seasonal factors particularly in August were at play. That said, we’ve all seen volume and volatility come back in October, which lifts our brokerage flow business. The tenure declined four basis points from the second quarter to close at 2.49%. Equity mutual fund flows turned negative in the quarter. Although, flows are positive this year was about $56 billion of inflows year-to-date this trend of last year’s net inflows. I think it’s important to note that equity inflows are down 43% year-over-year. Equity and debt capital rising from both a dollar and deal count was lower in the third quarter compared with the strong second quarter. M&A announcements were down in the quarter, the completed deals were up 18%. Looking at the risk premium, the earnings yield on the S&P didn’t change much from last quarter. Couple with the decline in the tenure the equity risk premium was approximately 3% as of September 30th. Turning to our financial results for the quarter, GAAP revenues for the quarter were $535 million and net revenues were $523 million, both up over 9% from the prior year, but they were down 6.5% -- 6% to 6.5% sequentially. EPS from continuing operations was $0.52 per diluted share and on a non-GAAP basis, which excludes merger-related expenses diluted EPS was $0.64 and net income of $48.7 million, which compares to non-GAAP EPS of $0.53 last year. Our GAAP effective tax rate was 39%. Our non-GAAP pre-tax margin for the quarter hit our target of 14.9%. And I would note that on a GAAP basis when you look at our reported earnings have declined from last year’s dollar per share, which was due to a tax benefit in Canada, which totaled $58 million after tax. We excluded this tax benefit from our quarter results last year. Turning to the next slide, I thought it would be beneficial to comment on our results versus street expectations. The largest variance is in principal transaction revenues, which missed three consensuses by $16.6 million. Investment Banking was down $8 million versus street estimates, but that said, I’m pleased with our Banking results. I do want to note that as we grow our Investment Banking franchise, we are generating larger and larger M&A fees, which can and will produce lumpy quarterly results. Net interest exceeded expectations by $4.3 million and I’ll discuss that in a moment. Net, net these items resulted in a $23 million revenue shortfall versus street expectation. Offsetting this comp came in at $61.8 versus expectation of $62.8, our non-GAAP tax rate was lower and shares were slightly higher, which taken all together resulted in a $0.02 diluted EPS mezz versus street expectations. This quarter there were three items of significance that I would like to highlight and taken together they negatively impacted our earnings per share by a penny per share. First we had $6.5 million accretion adjustment on acquired loans in connection with the Acacia transaction. This is a positive accretion and this explains the variance in net interest. This is offset by about $2.5 million mark-to-market loss on investments and approximately $6.8 million in lower fixed income trading profits due to market conditions in the third quarter. Looking to the next slide our GAAP revenues for nine months were a record $1.6 billion, up approximately 15%. EPS from continuing operations totaled $1.76 a share on a non-GAAP basis. This was $2.0 a share, compared to a $1.71 for the first nine months of 2013. For the nine months our non-GAAP comp and benefits was 62.5% and non-comp was 22.4% for pre-tax operating margin of 51.1%. The next slide reviews our non-core deal costs, in the quarter we incurred $12.3 million in pre-tax expenses related to our acquisitions. On a go-forward basis, we expect to incur an additional $8 million in the fourth quarter, $5 million of which is related to Oriel Securities. This estimate does not include Legg Mason Investment Counsel expenses. We’ve not disclosed the LMIC expenses. We’ve not closed yet on that transaction. But we expect to close any day. So as of now, the merger charge is yet to be determined. I’ll update you on this next quarter. Keep in mind, the primary expense that we will be expensing in LMIC is the expensing of stock-based comp with a corresponding increase in shares outstanding. We historically view stock grant at the time of the merger as purchase price and were on the corresponding expense to the income statement, because the majority of awards we make an acquisition the retirement eligible. And in accordance with accounting rules, they require that we expense them immediately and that the shares are also included in diluted shares outstanding. Looking at our sources of revenues during the quarter compared with the third quarter last year, our brokerage revenues decreased 2.8%, more on this in a minute. Our Investing Banking revenues increased 29% to $120 million. The increase was a result of solid activity in both equity capital raising and muni debt issuance and frankly, advisory revenues. Asset management service fees increased 26% to a record $97 million. The increase was due to higher value of fee-based accounts as a result of market appreciation and new client assets. Interest revenues increased 33% to $50 million. As I’ve already explained, it’s -- part of that is due to the $6.5 million pretax adjustments to the accretion related to Acacia and growth in interest earning assets of Stifel Bank. I will now discuss our Brokerage Investment Banking revenues. Global Wealth Brokerage revenues were up slightly almost 1% year-over-year, while Institutional Brokerage declined 8% year-over-year. That was driven by decline of fixed income brokerage, which was down about 11% and a decrease in trading profits that I’ve already discussed. So, therefore, our total brokerage revenues were down 2.8%. Looking at Investment Banking, total Investment Banking increased 29% to $120 million. It is up 36% for the nine-month period to $394 million. Equity capital raising, revenues up 14% and fixed income increased 65% from the year-ago quarter. Advisory fees are up 31%. We are certainly pleased with the progress we’re making in Investment Banking and we continue to see payoffs from our investments. Our results highlight a great mix between equity debt advisory. We’re seeing momentum in our debt business for the first nine months of 2014. Stifel ranked number one in U.S. M&A deals under $250 million year-to-date according to Bloomberg. We announced a number of very good M&A transactions in Q3, including BI Systems, $927 million share to TTM Technologies, NSC Capitals acquisition, NSC Capital, $489 million purchase of Bloomberg Corp.; Symmetry Medicals $450 million sale of it’s OEM solutions business. [Tekamed] (ph) we are pleased with the trend line in this business. Our equity and M&A backlogs are strong and the fourth quarter is shaping up to be what for us is, historically, a strong quarter. The next slide reviews our core non-interest expense for the quarter. Excluding non-core expenses comp and benefits as a percentage of net revenues was at the low-end of our stated goal of -- our stated goal came in at 61.8%. Transition pay as a percentage of net revenues was 5.1% that increases as a result of an uptick in recruiting coupled with lower revenues. Core non-comp operating expenses were $122.5 million. Oriel Securities added approximately $3.5 million in expenses in August and September. The increase in non-comp operating expenses from Oriel was offset by a decrease in our loan loss provision subscription conference and travel expenses. Next quarter, once we closed LMIC, I’d be able to give the more accurate range of where we expect 2015 non-comp expenses, where they well fall. The next slide reviews our core non-interest expenses for the nine months of the year. We are right on target in terms of comp and benefits as a percentage of net revenues at 62.5% and maintain our target goal of 62% to 64%. Core non-comp operating expenses were $365 million or 22.4% of net revenues. The next slide shows the result of our reporting segments. Global Wealth Management posted record net revenues of $317 million, an increase of 15.5% from the prior year and record contribution of $94 million, which was up 30%. Our Institutional Group posted net revenues of $215 million, an increase of 5% year-over-year, while the operating contribution declined 16%. Our Global Wealth Management segment simply had another great quarter with margins of 30%. Commission revenues increased 9% from prior years. Our principal transactions were down 13%, that’s really due to a decrease in fixed income products as a result of lower trading volume and the current both low interest environment and the forecast of what might happen to interest rate has a negative impact on our fixed income volumes. Asset management service fees had record quarter increasing 26% as a result of an increase in assets under management due market performance and an increase in client assets. Fee-based assets increased 26% year-over-year to $32 billion. It is important to remember that fees are built in Oriel. Investment Banking increased 24%, comp and benefits came in at 55.9% and non-comp operating expenses were 14.5%. Therefore, again, nearly 30% margins in summary a record quarterly performance for Global Wealth Management. Turning to Stifel Bank, assets increased 9% to $5 billion from a year ago, deposits increased 8% to $4.6 billion and loans grew 75% versus a year ago. We continue to move closure to our desire 50-50 mix as loan origination capacity increase. And as you can see, this quarters NIM increased to 310 basis points from 259 basis points last quarter. As I previously mentioned, this increase is due to the adjustment accretion to our accretion on the acquired loans as part of our Acacia transaction, excluding this adjustment NIM was approximately 260 basis points for the third quarter, which is what we expect going forward. Asset quality remained very solid with only 0.07% non-performing asset. Next slide looks at our Institutional Group results for the quarter. We posted net revenues of $215 million, up 5% from the year ago quarter, but down 16% sequentially. Again, the sequential decline was primarily due to lower institutional slow revenues and a decline in fixed income trading profits and a decline in investment banking revenues from a very strong second quarter of 2014. Comp and benefits as a percentage of net revenues were 61.2%, as a result of lower revenues in non-comp expense ratio was 25.1%. But that said, non-comp operating expenses, the actual dollar amount declined 2.6% sequentially. Pre-tax operating income of $30 million decreased 16% year-over-year, and the margins were about 14%, a decrease from both comparable periods. Last year, we did -- we had an adjustment in the comp revenue. So the comp revenue in last year’s quarter was unusually low at 58% and that accounts for some of the reason for the year-over-year quarterly decline in contribution for Institutional Group. The next slide looks at our capital structure which as always, we view as conservatively levered. Total assets are $9.3 billion, capitalizations $2.9 billion, our debt to equity at the end of the quarter was 18.2%, Tier 1 leverage came in at 16% and our Tier 1 risk-based capital ratio is still high at 27.9%. We continually are annualizing our capital ratios. As we look forward, we are reviewing all options to return capital to shareholders including share repurchases and/or instituting a dividend. The next slide illustrates the impact of rising interest rates. Based on static balances as of September 30th and assuming a parallel shift in rates, no change in client behavior, competitive pricing, et cetera, we would expect to earn an incremental $60 million to $70 million or 19% to 22% increased pre-tax earnings. This incorporates both incremental net interest income and waved account service fees within our private client group. The timing expectations constantly shift and we wanted to provide this detail for further understanding but caution you that involves various moving parts and handful of assumptions. I’ve been asked and we’ve been asked of adding leverage of the bank and the benefit from rising rates are mutually exclusive. They are not. As I previously stated, our Tier 1 risk-based capital at 28% is the constraining ratio that we look at. With a ratio closer to 17%, which is where I would like to see as they are assets, can increase by $6 billion. The combination of optimizing our capital structure and our leverage to rising rates provides a compelling earnings opportunity. To put numbers to this, the interest rate profile could add $0.55 a share, while optimizing our capital structure by growing the balance sheet, could add an additional $0.78 per share. Turning to other financial data as of September 30th, stockholders’ equity was $2.3 billion. Book value per share increased to $33.92. Our total leverage ratio declined to 3.2 times with the broker dealer at 1.7 times and Stifel Bank at 12.7 times. Total client assets reached $173 billion, which is up 12% from last year. A few additional comments on our acquisitions. Oriel closed on July 31st, and therefore is included in our numbers for two months. Oriel was a full-service broker dealer in London and provides the umbrella for our European businesses. Oriel brings 20 analysts covering more than 260 U.K. companies in nine industries, so the focus is braod based. After the integrations, Stifel will be able to deliver both U.S. and U.K. research to all of our clients globally and will be able to trade non-U.S. securities for our clients. The integration and conversion is scheduled for the first of next year. To give you some sense of expenses going forward, we incurred approximately $3.5 million of incremental non-comp expenses for the quarter relating to Oriel. And we also are looking at Legg Mason Investment Counsel. We expect to close on that transaction any day, hopefully tomorrow. With the close, we expect to add $9 billion in client assets. Now, we will be changing Legg Mason Investment Counsel’s name to 1919 Investment Management. In conclusion, we’ve had a record start to the year with $1.6 billion in revenues, which is up 16% from last year. We are very pleased with the performance in our Global Wealth Management segment. In the quarter, institutional equity and fixed income fall was challenging. So far in the fourth quarter, October has started off strong and was our best commission month in the history of the firm. The fourth quarter is historically the strong quarter for Stifel and with the October start it is shaping up to follow that trend. With that operator, I will now open up the call for questions.
Operator: (Operator Instructions) Your first question comes from the line of Christian Bolu with Credit Suisse. Your line is open.
Christian Bolu - Credit Suisse: Good afternoon, Ron. Sorry.
Ron Kruszewski: That’s all right.
Christian Bolu - Credit Suisse: So just a quick question on the balance sheet and I am just thinking, is there a way to better optimize your balance sheet? I guess the bank assets are already $5 billion, which is a fraction of the $9 billion total assets. So is there a way you could sort of free your balance sheet capacity elsewhere just given how accretive bank growth is relative to the overall current balance sheet?
Ron Kruszewski: I am not sure I understand your question. I don’t know that we -- first of all whether we need to free up any -- we always look at return on our capital across our businesses. I think our challenge, if I understand your question isn’t to free up capital, so that we can leverage the bank and the balance sheet and accretion that comes out of that. Our challenge has been to invest and grow the balance sheet into our capital base. I mean our capital base -- our Tier 1 risk weighted is 28%. And we’re challenged by the fact that we are growing our earnings very fast, lot of cash earnings. And we have been a little more cautious on growing the balance sheet. So that sounds like a broken record because I’ve said that for probably a year now. But we don’t need to free up capital. We need to deploy capital into productive assets.
Christian Bolu - Credit Suisse: Right. So, I guess my question was really just around, I guess the $10 billion threshold to your balance sheet and my assumption is you probably are going to stay under that floor a little bit here. Hence the question around remix from I guess, the broker dealer to the bank that would be -- thought about that but sounds like…?
Ron Kruszewski: Look, I think that the $10 billion is certainly something that you think about in terms of the marginal size of that line. As we all know there is implications to being over $10 billion in assets. But at the margin on where we sit today, there is really no -- I don’t really see a lot of benefits in shifting the balance sheet around among our operating units, moving from one to the other. And I would also say that it’s not -- that we are not going to -- this organization will be over $10 billion in assets. We will grow. We are just doing so prudently. So, I don’t see a lot of benefit in reshuffling assets among operating units under $10 billion.
Christian Bolu - Credit Suisse: Okay. Makes very clear. So just on acquisitions, on Oriel, I believe the business was loss making last year. I am just curious as to what the current operating margins for that business are, where they can get to over time? And how you think bringing on Simon Brad could help grow the wider European franchise?
Ron Kruszewski: Yeah I think -- a lot of our -- first of all, I did say that you thought that when we looked, when we announced the deal they were profitable from one. But looking at them in isolation is not how we’re looking at it. We have a number of operating businesses that are profitable over there. As I’ve said, we distribute U.S. research through an entity. We do KBW that was for KBW Limited. We did nice fixed income and then we had Oriel and what we’re doing is we’re putting all of that together. And as I’ve said, I believe that that could generate $170 million to $200 million revenue range, be profitable and be the foundation for future growth. That’s about all I’ve said about it. And I’ll continue to stay that we’re about two months into an integration and we have some work to do on the foundation of our infrastructure. But I’m optimistic about the business what it does for sort of our global footprint which has increasing importance, certainly in the equity flow business. And I’ll leave it at that. We believe it will be profitable and it will grow and we believe there’s a lot of synergies to taking these four businesses and putting them together.
Christian Bolu - Credit Suisse: Okay. That’s fair. And then just lastly for me on the wealth business, obviously very strong. You really exceeded your 25% operating margin target for a while now. So, I’m curious as to where you see margins progressing over time. And if you’re in a position to actually raise that target, it’s a nice problem, but that’s a problem nonetheless.
Ron Kruszewski: Yeah. I think the way we’ve been looking at it is we’ve reexamined some of our recruiting models and we want to deploy some of our excess capital into growth, which has been muted because of some serious competition on the recruiting front. We believe all else being equal we can’t have a significant increase in our ability to both gain finance advisors and the resulting client assets that come with that. We’ve been competing at significantly below where the street is. And we’ve been examining our models as to return on investment by deploying some of the capital into that business. So what I would say is we want to invest in new businesses in that. I think we can increase profits, increase revenues. We may for a while decline that margin versus expand it, because we see opportunities to invest in what is the business that we, I think are very good at.
Christian Bolu - Credit Suisse: Okay. That’s totally makes sense. Thank you very much.
Ron Kruszewski: You are welcome.
Operator: Your next question comes from the line of Steven Chubak with Nomura. Your line is open.
Steven Chubak - Nomura: Hi. Good evening, Ron.
Ron Kruszewski: Good evening.
Steven Chubak - Nomura: So the sequential growth that we saw in NII was quite impressive, even after adjusting for the $6.5 million of accretion-related fees. The loan yield by our estimation rose somewhere close to 15 basis points, give or take. And I was hoping you could discuss what you are seeing in terms of the market and loan pricing dynamics that drove the improvement in yield? And I suppose in light of that, what your appetite is to grow the loan book going forward, recognizing at the same time there is like $10 billion asset constraint?
Ron Kruszewski: Again, I don’t know that it’s a constraint. But I mean, it’s obviously a constraint.
Steven Chubak - Nomura: Consideration.
Ron Kruszewski: Yeah. It’s a consideration. But look, I think the first and we’ve talked for a while about the going from -- we build the bank initially by getting asset size and resulting capabilities and building the bank by investing in high-grade investment portfolio. We were having minimal interest rate risk due to cash flow hedges and very limited credit risk because I think almost 70% of our investment portfolio is government and so. But of course that comes with the expense of compressed NIM. Its not -- that’s an investment portfolio and so as we have and we have said this. As we move toward deploying more and what we believe our core competency is which is to make quality loans to our clients, both wealth management clients, to supply loans, institutional clients. In both, the term A and term B and commercial loans, that our NIM is going to naturally expand and that’s what you are saying because our loan as a percentage of our assets are getting larger. So I think it is impressive. It will be more impressive if this NIM after losses increases more, which is our goal, which I’ve always said, it isn’t just about NIM, it’s NIM after credit. And what I see now and I am optimistic and I am very pleased with the progress that we’ve made albeit to many people why it’s slow. And I would say it’s slow because we have generally shied away from wholesale asset generation. We want to do it with core competencies and core clients. But all that said, I agree with you, I think NIM is expanding nicely and it’s in accordance with our plan.
Steven Chubak - Nomura: Okay. So to summarize, it sounds like it’s a function of the remixing of that loan base rather than actually seeing more favorable pricing improvements in the market?
Ron Kruszewski: Well not remixing of the loan base, remixing of the asset base to more loans versus as a relative percentage of total than call it government securities.
Steven Chubak - Nomura: Okay. Understood.
Ron Kruszewski: Okay.
Steven Chubak - Nomura: And then just one more quick one for me on the brokerage side. I did appreciate the details certainly on some of the components contributing to the declines that we saw within fixed income in particular. That being said, it did feel as though the declines that you guys experienced were a little bit greater than what we saw at some our peers. And just wanted to get a sense as to -- I was hoping you could disaggregate or breakdown how much of the declines were a function of weaker volumes versus actual mark-to-market hits?
Ron Kruszewski: Well, I think as I’ve said the -- I think sequentially fixed income flow business was down about 9%, equities a little bit less than that, but still down on a flow basis. And that was for us -- was particularly so in the month of August. Now I will say, and you cover them, I read with impressiveness some of the results that I’ve seen, but as I tear it apart, I see the same thing in terms of flow when I saw the major difference for us as compared to some of the others as that. Our M&A volumes did not have the big M&A quarter that others on the street have had. So I don’t feel and I could be wrong here, but I don’t feel that it was the robust flow quarter in the equity or fixed income institutional businesses across the street that we somehow missed on. That’s certainly my sense. And industry volumes don’t suggest that that’s what happened either. We had some pretty good M&A quarters in the first and second quarter. And as I’ve said, as we build this franchise out, our M&A revenues are going to be more lumpy. But all of that said, Investment Banking revenues of $120 million is a good quarter for us. So we just didn’t have a big blockbuster M&A trade.
Steven Chubak - Nomura: Understood. Now that perspective is really helpful, Ron. And thank you for taking my questions.
Ron Kruszewski: You’re welcome. Thanks for joining the call.
Operator: Your next question comes from the line of Chris Harris with Wells Fargo. Your line is open.
Chris Harris - Wells Fargo: Thanks. Hi, Ron.
Ron Kruszewski: Hi Chris, how are you doing?
Chris Harris - Wells Fargo: Hey, good. So first question relates to October. You had mentioned things clearly getting a lot better. Wondering if you can help us out with the kind of the order of magnitude of the change you’re seeing in October relative to last quarter. And then related to that, is the recovery broad-based or are you getting a pick up in both equity and fixed income flow or has it been more biased toward one or the other?
Ron Kruszewski: Well, first of all, across the board we had a record month in our serve -- our commission business, if you will, record in the history of the firm, okay. In general, I would say that the volumes and the flow and the volatility has had a positive impact on flows at least to the first month, resulting in a little muted activity certainly on the equity for us. The equity calendar as you would expect with volatility. But the fourth quarter is historically a strong quarter for us, it’s our year-end. And overall, I would say that with the caveats I just said the business across the board through October felt pretty good.
Chris Harris - Wells Fargo: Okay. Maybe an unrelated question on expenses, more kind of bigger picture not really related to this quarter. But clearly, you guys have done a number of deals and we all know you inherited some of those expenses. Just kind of curious what you think about the outlook over the next year or two? Do you think there is still kind of a meaningful opportunity to tighten the expense base a little bit? And if you think that’s possible, anyway that kind of share us with a roadmap on what you might see or examples of things you might be able to do?
Ron Kruszewski: Yeah. You know I think -- I want to -- I want to answer this cautiously, but how you certainly want my thoughts and expectations are and then you can do the math yourself. Certainly, we want to -- we see three things. I will deal with everything and then come back to expenses. First, we see the ability to leverage and our positive slope to rising interest rate, we certainly see that. We see the ability to continue to grow and invest in wealth management which may increase overall expenses, but revenue should increase more profitable goal. When it comes to non-comp operating expenses and margins in general, I will reiterate what I have said before and that is that our focus and it’s been I believe accretive, but our focus on building on our institutional business is have resulted in margins that are in the mid-teens and they should be in the low-20s. And so you take a bill -- and that’s a combination of expenses across the board certainly you know two, three points in non-comp OpEx. We certainly have that identified. We know where we are trying to get some of that as longer tails and other things, but across the board you know to see five, six, seven points you can pick from where you want to start to the low-20s at this point. And I might target mid-20s for businesses like this, is where you are going to see the -- it’s $1 billion business and you know eight points is $80 million. So that’s what we are looking at, but we’ve been saying that for a while we’ve identified certain things, but some of these expenses take a little bit longer to tackle to the around.
Chris Harris - Wells Fargo: Got it. Thank you, Ron. Helpful.
Operator: Your next question comes from line of Devin Ryan with JMP Securities. Your line is open.
Devin Ryan - JMP Securities: Thanks, everyone. And good afternoon.
Ron Kruszewski: Devin, how are you?
Devin Ryan - JMP Securities: Doing well. So just a follow-up here on the $10 billion threshold in the bank. And maybe just to ask more directly, so clearly you guys have been putting the controls in place for sometime and we see how that’s impact these trends in recent quarter. So with some of that preparation already done, I mean should we think about to the extent the opportunities there? Are you ready to move over it today? Or is it really just a more work to do on the preparation front?
Ron Kruszewski: Well, first of all, can I refuse to answer your question because you beat the cardinals?
Devin Ryan - JMP Securities: Absolutely.
Ron Kruszewski: Okay, but I won’t refuse to answer your question, but congratulations to your giants out there. Look the $10 million threshold is something that we want to just be mindful of and we believe that we understand what it takes. It’s primarily the stress test of the CCAR or DFAST, say DFAST actually rules. And so the idea to go from without being ready to go from 9.9 billion to 10.1 billion is not something that you just want to do lightly. You want to get more meaningfully through that and timing is important. So I fee that we’re in a position. We certainly want to make sure that all our ducks in a row with respect to that. It’s not something you go through by $50 million in my opinion, okay. And that doesn’t necessarily mean that you have to have an acquisition to do it. It’s just that we want to be prepared to do it. What’s really the constraining aspect for us is still the -- we can add loans and not grow the balance sheet by just letting us security mature off and improve our NIM that way. So it’s not just necessarily passing opportunities by, it’s remixing the balance sheet. All that said, we’re either -- we’re going to grow through that $10 billion or we’re going to have a lot to do on the denominator side of our leverage ratio, which is all this equity and excess capital we have. So I don’t know if I really answered your question. I don’t want to leave the impression that we somehow put a hard ceiling on our growth because of the $10 billion DFAST line.
Devin Ryan - JMP Securities: Yeah. Absolutely not, that’s helpful. We’re just trying to get some perspective around where you are in that process.
Ron Kruszewski: I think we’ve done a lot of work and we certainly understand how to do the stress test and where the models would come from. And we’re not waiting to get to $10 billion to go to the exercise of stress test.
Devin Ryan - JMP Securities: Yeah, Absolutely. Okay. And on similar lines, so you kind of proactively brought out buybacks, dividends. And I know historically the view has been that the best opportunities are in new investment business. But then the comment around business is just generating so much cash. Is there maybe a change in view here where there might be a better balance of capital utilization and deploying capital into buybacks or thinking about dividends moving forward?
Ron Kruszewski: Yeah. Well, look, I made that comment. That had forethought in it in terms of what we’re evaluating. When we look at our earnings capability and what happens as you continue to grow the balance sheet and the earnings that come off of that coupled with what could happen in the rising rate environment, we see the potential for a lot of earnings. And the idea that we see a lot of opportunity, but deploying those earnings and starting in a 28% risk weight to capital coupled with the fact that at least right now the risk weighting on security-based loans will go down, which impacts -- positively impacts our risk weighted ratio. All of those things playing us to the fact that we are one of the largest financial institutions that hasn’t considered or has not talked about the dividend. So I raise this factor today because we have to examine from a prudent capital strategy, not only growing the balance sheet, but potentially returning capital through either share repurchases or dividends. I have previously said that share repurchases and the dilution to tangible that happened there versus dividends, which are more across the board. We rather grow than we saw the more accretive and better to grow in to our overcapitalization. But when we look at it all three levers, which is growth, share repurchases and dividend considerations that we are thinking about are all in the table.
Devin Ryan - JMP Securities: Great. That’s actually very helpful. And then just lastly following back up on oil here. So just trying some perspective around the revenues this quarter, I think that expectation was this business could be in $80 million to $100 million run rate, how the business and then I know what’s in the greater constructive of Europe or volume, the numbers will be bigger, the hope will be bigger. But having that in the quarter for two months, it’s not looking like there was much contribution in the equities, commission lines. So just trying to get some perspective around where the contribution was and then maybe we are not kind of at that run rate yet I would assume and then you know maybe some other perspective around brokerage versus banking mix there?
Ron Kruszewski: Well, I think that I mean the answer reason why I don’t disclose is I will say that you know I sort of felt that the flow business and banking to a certain in the near pocket in August and we have commented on that. Certainly it was reflected in our results. I would say that that the European markets and the London markets were not immune to that. And so while I have not said, whatever, I think what I have said is in London our combination of our businesses can do $170 million to $200 million. I would say that the starting with Oriel has been slower than we would maybe expect on a run rate basis, but that’s not unexpected considering we just close the thing, August first. So you always have a ramp-up as people get use to siding on to their new computer system. So -- but the combination of integration plus market would explain why you haven’t seen the contribution, you might otherwise have thought you would have seen.
Devin Ryan - JMP Securities: Got it. And just thinking about the mix of activities and I am assuming why the majority is brokerage. Is that fair or is a bigger chunk on from bank then we make…..
Ron Kruszewski: I think -- look, I think on a go-forward basis, I think that there is a fair amount of corporate brokering and banking that can occur as well. We’re going to, I may and I think I will because of so many investments over there. I’ve been thinking about breaking out London for those call on a combined basis, but we put all of our pieces together and then talk about whether where we are to our revenue projections and the profitability of what we’re doing. And I think it will also -- you’ll see some of the investments that we’re making over there. So -- and that said, its going to hard when you combine what we do in KBW and Oriel and some of the loan sale and activity that we have in Knight. All of that together will -- we will begin to quickly talk about London as London not as Oriel.
Devin Ryan - JMP Securities: Got it. Appreciate the details.
Ron Kruszewski: You are welcome. Thank you
Devin Ryan - JMP Securities: And congratulations.
Operator: Your next question comes from the line of Alex Blostein with Goldman Sachs. Your line is open.
Alex Blostein - Goldman Sachs: Hi. Good evening.
Ron Kruszewski: Hey Alex.
Alex Blostein - Goldman Sachs: Hello. So question for you guys on fixed income trading, so I hear you on the kind of commission comment, but I was wondering how the rest of the training businesses performed. And again, particularly, fixed income in October given the fact there was a fair amount of volatility. But more importantly, I just want to -- Ron, to hear your thoughts broadly what do you guys view as sort of ideal environment for your fixed income business. Clearly, you’ve got -- you guys have grown a quite significantly so as we’re looking on it the next year and the year after with prospects of mainly slightly higher interest rate but maybe flatter curve. How does that all kind of play into what the fixed income business could look like for you?
Ron Kruszewski: Well, first of all, I think that -- although I don’t have it at my fingertips. Again, I think October was pretty good across the board, okay, and that’s commissioned and relative. It’s always hard to talk about how trading comes in but not anything significant that I’ve got to my level certainly. And so I think that business look good. As we think about fixed income, I’ve said for -- since we started building this business back when it was a $25 million business for Stifel and that’s about maybe nine years ago that this business was a business that we could grow, gain market share and increase profits in light of a mark that was otherwise shrinking. And that’s how I view it today. I think that to a certain extent, we’ve grown and we’ve added capabilities. It probably masks and people have been surprised at our resiliency of our fixed income business. And I would say that it isn’t really the resiliency of our fixed income business, thus gaining market share through various ways as its hiring talented people. And while business is -- we’re not immune to the street pressures of the fixed income business. We are growing and we see significant opportunities to continue to build revenues, even if same store sales are down. And that’s exactly what’s happened here. Our same-store business so to speak if you look at it has declined as the street has, while we were showing increase in revenues and profitability. So looking forward, I think that it will -- I personally believe that interest rates will remain longer -- lower longer than people think. And when they do rise, I don’t see them -- I personally don’t see the tenured 8%. But I think that the fix income business is a good business albeit the wind is at your back when you go from 5% to 2% on the tenure versus even 2% to 4%. So I don’t know if I am really answering your question other than to say, we believe we’re going to gain market share and show increases, even if the market has -- can have some declines. Now trading profits can adjust that in any quarter as you know.
Alex Blostein - Goldman Sachs: Got you. Okay, helpful. And then I appreciate the disclosure around rates. I think that’s definitely something that I think many of us have asked. So thanks for putting it in there. When we think about the projection, I guess, from now to that kind of $60 million, $70 million incremental pretax earnings. Can you give us a sense how much of that comes from the first 100 basis points, I’m assuming most of that but I just wanted to confirm?
Ron Kruszewski: I think, Alex, look here, I mean, I believe that, I think that on the -- I think as it relates to clients, we were expected -- I think what we are expecting on the client side which is a big piece of it is that we would keep 40 basis points to the first 100 basis points of an increase. And that’s all we really modeled here, okay. So when we -- I think this is conservative because if you get a bigger increase in fed funds, we’ve only modeled keeping 40 of 100. And we are trying to be conservative. I think other firms may have been more aggressive as to what. And I am talking about the ability to recapture some of your fee income. So I will say that when you get pass that, I want to be consistent with what people are saying. I personally believe that the variables that move around once you get more than a 100 basis point and our behavioral will change in the shape of the yield curve and all of those things is something I would rather not speculate. But I am pretty comfortable with this 100 basis point. The 100 basis points is it relates to shift, as it relates to our bank, you can almost apply that to our equity. And because we finance a lot of our business with tangible equity and obviously as assets increase by 100 basis points, the corresponding cost of activity does not increase. So you know we keep most of that increase on that part of the slide. We keep 40% of the increase of sort of the deposit waver as what we’ve modeled. And then of course, you add on top of that our ability to leverage our balance sheet.
Alex Blostein - Goldman Sachs: Understood. Thanks a lot.
Ron Kruszewski: Yeah.
Operator: Your next question comes from Douglas Sipkin with Susquehanna. Your line is open.
Justin Tarantin - Susquehanna: Hi, good evening. This is Justin Tarantin filling in for Doug. Local question for you, just regarding the bank. I wondering if you down a little bit more on the investment securities line, I know there has been a decline there over the last several quarters. And this time I just want to see if there is anything notable going on there or if you might be able to give a little more color on the trends? Thank you.
Ron Kruszewski: I think you are asking the same question a different way and what it is, is it’s our recycling investments in the loans. While sort of muting our growth towards the $10 billion DFAST threshold. And again I somehow feel like I am cowardly about this $10 billion, I am not. And it’s not but if anyone takes away from this, that we’re not going to exceed that then I am misspeaking because we will. We’re just going to do so as we always do prudently. What you see is an ability to manage our balance sheet by taking proceeds from investment maturities and recycling them into loans. And that’s what you see. That has the impact of change in the mix, changing the NIM, but not increasing the footings of the bank.
Justin Tarantin - Susquehanna: Got it. Okay. That’s my question. Thank you so much for details. I appreciate it.
Ron Kruszewski: Welcome.
Operator: Your next question comes from Michael Wong with Morningstar. Your line is open.
Michael Wong - Morningstar: Good afternoon.
Ron Kruszewski: Hey Michael.
Michael Wong - Morningstar: So not looking year-over-year, but in contrast to last several quarters, I was wondering if there was anything unusual in the institutional groups compensation ratio as the compensation ratio decreased despite revenue going lower or is that just a function of what you said earlier of progress to low to mid-20s operating margin for the segment?
Ron Kruszewski: Yeah, I think if you look in general and I think the compensation we paid the majority of our compensation at year end and compensation is an estimate. I have said in the past with all due respect estimates and trying to do the best we can that we tend to have higher compensation ratios at the beginning of the year, in many ways due to benefits payroll taxes and the number of things that then taper down and that ratio will tend to start higher and then lower. And we always end up in the same place firm-wise not always, but we try to. And that philosophy and those dynamics play out not only at the firm level but in the segment level, institutional and private client as well. So that side you can -- there’s always a few baggaries that can occur, but that’s the general answer.
Michael Wong - Morningstar: Okay. And you expressed your personal view on interest rates. But I was wondering if that’s influenced your fixed income brokerage positioning or hedging of that business?
Ron Kruszewski: Well, I mean certainly from the bank’s perspective we try to hedge. And we’re -- and I think we’re very mindful of our ALCO responsibilities and how we manage interest rate risk from the investment portfolio. Most of the investment portfolio is held in -- it’s held in the bank. And so that’s where we take duration risk, if you will, and we hedge it appropriately. As it relates to our flow business, I think we -- in our flow business in many way dictated by our clients. And we just strive to move that stuff. And the bank side, we’re in the storage business and we hold it. And on the brokerage side, we’re in the moving business. And when we don’t, we don’t endeavor to hold any kind of positions or take any kind of risk past certain defined holding periods. So we’re really facilitating client flows. So my view of interest rates has some influence on what we do in the bank and how we hedge in the bank and not a lot is to what goes on in the flow business on the brokerage side because that’s more dictated by what our clients are doing.
Michael Wong - Morningstar: Okay. Thank you.
Operator: Your next question comes from the line of [Patrick Miller] (ph) from DTCC. Your line is open.
Unidentified Analyst: Hi. Good evening. Mine is it’s really quick, if we could just look at on the slide 10, Global Wealth Management. And I see it broken is $159,372, if you could just give me the breakdown of that? I’m trying to just reconcile it with your overall total revenues.
Jim Zemlyak: So let me see if I can find the slide.
Unidentified Analyst: Slide 10.
Jim Zemlyak: I mean, look, here we go. You want the breakdown of the $159,372?
Unidentified Analyst: Yeah. For Global Wealth Management, I’m just trying to reconcile it with slide nine, where you have your total revenues of $534,683. I see the 260, I see the 120 and I’m just wondering if you just give me a breakdown of 159?
Jim Zemlyak: I often get dumped on this call, but if I can find the slide you are talking about, I will try to. I’ll tell you what I -- look here. I mean the 159 I believe is a 108.2 in commission, 108.2 commissions plus 51.2 in principle transactions, which equals 159.4, which I think….
Unidentified Analyst: Okay.
Jim Zemlyak: Hey, that wasn’t bad.
Unidentified Analyst: Excellent. Thank you so much.
Jim Zemlyak: You’re welcome.
Operator: There are no further questions at this time. I turn the call back over to Ron Kruszewski.
Ronald Kruszewski: Okay. Always, always good to end with the math question. So thank you everyone. As I have said we are pleased with our progress in the quarter albeit do acknowledge the softness in the revenue, which I said was really for us at least a result of what was a pretty slow August across our general flow business. And -- but looking forward we see certainly for us historically a much more robust a quarter going forward and looking forward to 2015, we see no reason we won’t continue to grow our franchise pretty much across the board. So to our shareholders, thank you, to the analyst that follow up. Thank you for your time and we will look forward to talking to you and report our full year results in February. Let everyone have a great evening. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.